Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss MiX Telematics Financial Results for the Fiscal Second Quarter ending September 30th, 2022. Joining us today are MiX Telematics, President and CEO, Stefan Jose; and the company's CFO, Paul Dell. Following their remarks, we will open the call for any questions you may have. I'd now like to turn the conference over to Chief Financial Officer, Paul Dell, as he reads the company's Safe Harbor statement, providing important cautions regarding forward-looking statements. Paul, please go ahead, sir.
Paul Dell: Thank you and good morning, everybody. Before we continue, I'd like to remind all participants that during today's call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on Investor Relations section of our website. You will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I’d like to turn the call over to MiX Telematics' President and CEO, Stefan Joselowitz. Josh, over to you.
Stefan Joselowitz: Thank you, Paul. Good morning, everyone, and thank you all for joining us. For our second quarter of fiscal 2023, we again delivered solid financial and operational results, highlighted by 12.9% sequential increase in constant currency annual recurring revenue or ARR. Despite macro headwinds in several geographies, we reported record organic subscriber growth, which was further complemented by our strategic acquisition of Trimble’s Field Service Management business in United States. In total, we added 76,300 subscribers during the quarter, bringing our base to over 914,000 globally. Our organic growth accelerated with a record 38,300 net subscribers added, up 60% from Q1 of this year. This followed strong contributions across all solution categories and marks our fourth consecutive quarter of adding more than 20,000 net subscribers. Financially, we generated $35.3 million of total revenue and delivered 17% year-over-year growth in ARR on a constant currency basis, ending the quarter with $128.4 million of ARR. We are encouraged by our financial performance and the momentum of our business, which has been supported by a robust backlog and strong industry tailwinds. Along that line, there continues to be a growing number of fleet managers looking to cloud-based solutions to solve complex fleet and asset management problems. Due to higher energy costs, new vehicle supply chain shortages and compliance requirements, fleet operators are becoming more reliant on telematics solutions to identify possible cost efficiencies. We're also seeing new technologies like advanced video telematics that can dramatically enhance driver safety and commercial fleets further elevating demand globally. In terms of our EBITDA performance, we generated $6 million at a margin of 17%. As our revenues continue to grow, we are confident that by leveraging our fixed cost base and unlocking synergies from the FSM acquisition, we will see margin expansion in the second half of fiscal 2023. We anticipate that we will exit fiscal ‘23 with EBITDA margins closer to the mid-20s with further margin expansion in fiscal 2024. During the quarter, we made meaningful progress in our U.S. expansion initiatives through the acquisition of Trimble’s Field Service Management business or FSM, which added an additional 38,000 subscribers and $10.6 million in ARR to our group. This accretive acquisition also effectively doubled our U.S. connections. Our FSM business also unlocks new customer verticals, diversifying our presence in growth industries such as construction, equipment rental, lost mile logistics, and agriculture. In the near-term, our team is laser focused on integrating FSM into our business and realizing the various synergies we have identified, including growing our core transportation and logistics customer base. With regards to FSM, bear in mind that some of the acquired base requires a technology refresh and conversion to long-term contracts. We do not expect to be able to retain every customer and our internal plan is around a 75% success rate over the next 12 months to 18 months. I'd like to take a moment and reiterate our M&A strategy going forward. We have a small team in place, who are focused on identifying attractive acquisition targets over the near and medium term. We are focused on identifying value accretive opportunities that can provide meaningful contributions to our business, opportunities that diversify our customer verticals and ideally opportunities that expand our presence in North America. That said, we will continue to remain disciplined in our approach. On the product innovation front, we released a new KPI management solution that enables customers to set and automatically track their progress against critical business objectives through our embedded dashboards. This powerful new tool comes as an add-on to the MiX premium fleet solution and allows users to measure their performance on specific issues impacting their specific fleets and risk, safety, efficiency and sustainability. The easy-to-use software can systematically draw conclusions without user intervention, leading to fast consistent and accurate results driving further customer value with minimal effort. We've also continued to make progress on our MiX OEM Connect strategy where we offer fleet operators easy, direct integration to relevant and powerful telematics data from the mid-vehicle manufacturer without the cost and downtime associated with installing our proprietary hardware. It also shortens our sales and implementation cycles. Last month, we completed our integration with the Telematics Services of Ford Europe, as well as another multinational vehicle manufacturer, both of which are currently in testing before commercial release in the coming weeks. These manufacturers are also well advanced in their elecertification strategies and we are seeing high demand from our customers for our services on these makes and models, especially across Europe. We operate in a fast moving industry and it is imperative for us to continue to innovate and improve our solutions to retain and enhance competitive advantage of our broad product portfolio. These investments are critical to our ability to organically grow and capture market share, while preserving our long-term customer base. Now shifting gears to some of our key customer wins in Q2. Building on our momentum from last quarter, our sales team continued to execute on our growth strategy, signing new customers and further expanding our scope of services amongst existing accounts. In Africa, we added more than 4,000 subscribers through six key contracts with four of the wins featuring multiproduct subscriptions, including video telematics. In Latin America, a field services company-based in Brazil selected the MyMiX tracking app for drivers, who would use the app while they are operating rental vehicles that don't have any form of embedded telemetry. We also finalized a contract with a multinational oil and gas company in Ecuador for our premium fleet solution with the addition of satellite communications. This customer is a subsidiary of an existing global account and it is a great example of the inherent stickiness of our solutions and our ability to cater to large customer accounts through our global presence, especially as they expand their operations. In Australia, we added 1,000 connections to our channel partner in [Tele] (ph) fleet, where they helped us deliver our solutions to GrainCorp. Our technology will allow GrainCorp to closely monitor their assets and generate automatic reports driving operational efficiency. And in Europe, we secured expansions with several transport and logistics companies based in France, the U.K., Spain and Italy. For this full fiscal year, we maintain our expectation to deliver mid to high single-digit constant currency subscription revenue growth and high-single to low double-digit organic ARR growth. These targets speak exclusively to our organic growth model and do not include any additional growth from the recent acquisition of FSM. We firmly believe that FSM acquisition will further enhance our growth model, so I'll let Paul provide more detail on our combined outlook in his prepared remarks. Additionally, we believe our adjusted EBITDA margins will be in the low to mid-20% range and do not expect the acquisition of Trimble’s FSM business to have a material impact on adjusted EBITDA. I know that the following is stating the obvious, we have experienced negative cash flow for the past five quarters and this is primarily because of macroeconomic headwinds. The biggest culprit has been supply chain pressures, where we’ve compelled to pay higher prices for components, committed dramatically extended forward orders and build-up elevated inventory levels, which has sucked cash. All of us was to ensure that we didn't upset our top line growth progress by running out of stock. With the industry-wide supply chain pressures beginning to ease, we plan to start steadily returning our inventory to more normal levels. This will contribute handsomely towards returning the business to positive free cash generation. Our leadership team is well seasoned and motivated to get back to where we were before the pandemic, a position characterized by strong organic growth, robust margins and healthy cash flows. Remember that having an effective cost controls will always be one of our highest priorities. It is in our DNA here at MiX, to prudently manage our capital spend, while constantly evaluating additional cost management initiatives. We will continue to dynamically adapt to ensure our company remains lean, flexible and well positioned to drive our margins back to our historically strong operating levels. We reiterate our long-term financial targets of 15% to 20% constant currency subscription revenue growth, and 30%-plus adjusted EBITDA margins. As a reminder, our business was achieving close to these financial targets shortly prior to the pandemic and we firmly believe that we will be able to return to this level of performance once again. Our industry-leading platform, including new innovative products has us well positioned to capitalize on industry tailwinds, which we believe will translate to accelerated growth and greater business and geographic diversity. We remain confident in our ability to execute on our growth initiatives and achieve our long-term financial targets and ultimately drive enduring shareholder value. I'd now like to turn the call over to Paul to review our financial results in more detail. Paul?
Paul Dell: Thanks, Jose. Turning to our financial results for the second quarter of fiscal 2023, which ended September 30 2022. Starting with the top line, total revenue was $35.3 million, compared to $36.1 million in the same year ago period. Subscription revenue for the second quarter of fiscal 2023 was $30.7 million or 87% of total revenue, compared to $30.9 million or 86% of total revenue in the same period a year ago. On a constant currency basis, subscription revenue increased 10.1%, compared to the year ago period. It's worth noting that subscription revenue from Trimble’s Field Service Management business, which we acquired in September, accounted for approximately $900,000 in the quarter. While we reported strong constant currency top line performance, our reported dollar revenues were impacted by the dollar's recent strength against all major currencies, the impact of translating foreign currencies to U.S. dollars at the average exchange rates during the second quarter of fiscal year 2023, led to a 10.7% decrease in reported U.S. dollar subscription revenues, compared to a year ago. We ended the quarter with 914,600 subscribers after the record 38,300 subscribers added organically and 38,000 added from the FSM business. Our subscriber base has now increased 18.8% over the past year. The strong organic subscriber growth was driven by a step up in volumes across all service lines. Annual recurring revenue or ARR was $128.4 million on a constant currency basis ARR increased 12.9% in the second quarter sequentially, of which 9.4% is attributable to the FSM business. Year-over-year constant currency ARR is up 17%. Our gross margin for Q2 of fiscal 2023 was 62.7%, compared to 63.7% in the same year ago period. Subscription margin was 67.9%, compared to 70.2% in the second quarter of last year. Gross margins in Q2 were impacted by the continued supply chain challenges and higher direct costs. Notwithstanding this, we have identified a number of areas across our business where we intend to extract efficiencies and we expect our margins to return to overall gross margins in the range of 64% to 66% annually. Operating expenses were $20.6 million, compared to $19.2 million in the year ago period, and include $0.8 million of acquisition-related costs. Adjusted EBITDA in the second quarter was $6 million, compared to $7.9 million in the year ago period. As a percentage of total revenue, adjusted EBITDA was 17%, compared to 21.9% in the year ago period. As Jose mentioned earlier, we expect to end the fiscal year with higher adjusted EBITDA margins. The margin expansion will be driven by cost management initiatives and increased operating leverage from the expected subscription revenue growth during the second half of the fiscal year. Turning to the balance sheet, we ended the quarter with $19.7 million of cash and cash equivalents, compared to $33.7 million at the end of March 31, 2022. During the second quarter, we gained $2.3 million in net cash from operating activities and invested $7.4 million in capital expenditures, resulting a negative free cash flow of $5.1 million. Our capital expenditures primarily focused on investments in our inventory position, due to component shortages and our backlog of confirmed orders. We want to reiterate our expectation that we will be generating significant free cash flow in fiscal 2024, due to both expanded adjusted EBITDA margins and normalized inventory levels, following the easing of the supply chain issues just described earlier. In terms of our expectations for the current fiscal year and accounting for the acquisition of the FSM business, we expect our total constant currency subscription revenue growth to move into double-digits and would like to reiterate that organic growth is expected to remain in the mid to high single-digits. Organically, we expect to achieve high-single to low double-digit constant currency ARR growth in fiscal 2023, inclusive of the FSM acquisition we anticipate full-year ARR growth in the mid-teens. We are also focused on achieving our adjusted EBITDA margin target, which remains in the low to mid-20s. As our customer base grows, we will continue to upsell our solutions organically among existing customers, while maintaining cost discipline, exceptional customer service, and a keen approach to strategic growth initiatives. We believe our balanced approach of increasing the prevalence of our solutions throughout growing customer base and strategic M&A will drive ongoing sustainable growth for the company and will benefit all stakeholders. That concludes our prepared remarks. I'll now hand back the call to the operator for Q&A. Thank you.
Operator: Thank you, sir. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Matt Pfau with William Blair. Please proceed with your question.
Matt Pfau: Great. Thanks for taking my question, guys. Wanted to first ask on the really strong subscriber additions. It would be helpful maybe if you could just provide some more detail on what drove that result?
Stefan Joselowitz: Thanks, Matt. As we mentioned in the prepared remarks, it was certainly across all product solutions. So we were pleased that it was a decent balance between premium fleet, light fleet and asset tracking and that’s certainly contributed handsomely towards the ARR expansion that we saw in the quarter. So what drove that is we’ve got -- we’ve invested in a number of sales initiatives in various geographies and we're pleased that at least some of them are bearing significant fruit. And we'll continue to make relevant investments to hopefully continue to expand our subscriber base and our ARR going forward.
Matt Pfau: Got it. And I know in past quarters, you've discussed how the pipeline has looked really good and there's been deals in there that have made you optimistic. Are some of those coming through now? And then what does the pipeline look like going forward?
Stefan Joselowitz: Yes. Our pipeline is still looking great and continues to develop nicely, continue to make the point to our salespeople that the pipeline doesn't pay any bills. You have to convert them into paying customers. And of course, the response has been that in many instances, we're doing that reasonably at [indiscernible], I think what you might also be referring to is that we have referred in recent quarters to this elevated backlog. Our contracted backlog is still at higher levels than let's say a year ago, but we certainly yet into that in this quarter that we're just reporting on now. So the levels have come down somewhat, that are still -- we still have a bunch of large contracts that we need to convert into subscriptions via implementation.
Matt Pfau: Great. And then you did mention that there were headwinds in several geos. Maybe you can just discuss what those were and what the impact was?
Stefan Joselowitz: Yes, I think it's a broad thing that's impacting most geographies inflation being clearly one of the significant culprits of course, supply chain and not necessarily supply chain internally, but more externally supplied vehicles in certain geographies remain -- geographies still remain challenged. So I guess if I had to identify the biggest headwinds, those still remain. Those two would be the most significant. Of course, we've had a bunch of exchange rates issues over the last one or two quarters that impact certain geographies more than others.
Matt Pfau: Understood. Alright, thanks guys for taking my questions. Appreciate it.
Stefan Joselowitz: Appreciate it, Matt. Thank you.
Operator: Our next question is from Alex Sklar with Raymond James. Please proceed with your question.
Alex Sklar: Great. Thanks. Jose or Paul, it's kind of a two part question here. But can you talk about kind of the comment to the relatively strong subscriber growth? And then also at the same point being a little bit more cautious on your investments in the current macro, so you've got a lot of momentum going in the business right now, but the business environment is increasing challenge? How are you thinking about investments in this environment?
Stefan Joselowitz: Certainly, giving a lot of consideration to investments, we are in an environment where the future economic outlook is pretty murky in many instances even negative. So we are constantly looking at our expenditure how we manage that capital expenditure, what approach we take towards investments of course, we've mentioned that it's showing in the results that a number of our initiatives are bearing fruit. Of course, there's some that, that aren't performing, as well as we'd like and we'll continue to tweak those. But we are on an ongoing basis looking at how we deploy our cash and we will certainly continue to be cautious and conservative. I guess, as far as that approach is concerned. Remember, we are looking it's in our DNA to build the balance business, so achieving a decent balance between growth and profitability. And of course, as I mentioned earlier, a strong desire to return toward -- to return back to a strong positive cash generation.
Alex Sklar: Okay, great. And then Paul, maybe just help us a little bit with the bridge from kind of the 17% EBITDA margin we've seen in the first half of the year to exiting the year in the low to mid-20s, I think you gave some color on gross margin [Technical Difficulty] snapping back. What else on the kind of OpEx side that's helping you, kind of, be confident in that outlook?
Paul Dell: Yes. Thanks, Alex. I think, Alex, the two areas that will help us with this. I think we are seeing leverage from the subscription revenue growth, which we've already achieved and then we're going to achieve more in the second half of the year, and we will -- we're looking at every cost area in our income statement. So we have, for example, some of the costs we've gone back to suppliers’ renegotiated lower costs in some geographies that got obtained lower carrier costs. And yes, we really are just going to manage our cost base efficiently. And we've also identified areas where we can use technology to -- for example, simplify the onboarding of customers, which will reduce the overhead costs that we have in our business, so there's various initiatives, which we put in play that will contribute towards this.
Alex Sklar: Okay, great. And then last one for me. Maybe for you, Jose, but can you just provide a little bit more color on your assumptions around the Trimble FSM subscriber retention? I know you talked about having to upgrade some the devices there. I know it's only been two months since you announced the acquisition. But what have you learned so far that's helping kind of guide that outlook?
Stefan Joselowitz: Yes, I think, Alex certainly, it's gone according to our expectations. So no, no significant negative surprises, we certainly don't expect to achieve 100% conversion success rate. And when we made the announcement, I think we made it clear that we've structured the deal that we only pay for those subscribers that we successfully upgrade from a technology perspective and converts of this kind of a double gate that would trigger payments. So we’ve initially we paid about $3.6 million, bear in mind too and we acquired the $10.5 million of ARR in the process and 38,000 subscribers. We clearly expect and hope we're going to pay some more as the month’s progress as we convert this subscribers and that conversion process has started. So we'll certainly keep the market updated in terms of what our payment progress is in terms of this acquisition. We expect to be paying up to $9.5 million, maybe even up to $10 million for this acquisition ultimately. But that would mean that we're hugely successful on our conversion. So it might be a lower number, but we're working it as hard as we need to work it.
Alex Sklar: Okay, great color. Thank you both.
Stefan Joselowitz: Appreciate you, Alex. Thank you.
Operator: At this time, we have reached the end of our question-and-answer session. And I would now like to turn the call back over to Jose for closing remarks.
Stefan Joselowitz: Thank you for your assistance, Maria. We'd like to thank everyone for listening to today's call. And we look forward to speaking to you again when we report our third quarter 2023 fiscal year results. Before I wrap up, I'd like to take a moment to recognize the efforts of our global team. We would not have been able to achieve what we achieved this quarter without their hard work and dedication to MiX. Thank you everyone in our team for everything you do to help us realize our mission of becoming a leading global provider of future mobile asset management solutions. Thank you all for dialing in today and have a wonderful day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for participation.